Operator: Good morning. My name is Brittany, and I will be your conference operator today. At this time, I would like to welcome everyone to Drive Shack’s Fourth Quarter and Full Year 2021 Earnings Conference Call.  Today’s call is being recorded.  At this time, I would like to hand the call over to Kelley Buchhorn, Head of Investor Relations and Treasury, Ms. Buchhorn, you may begin.
Kelley Buchhorn: Thank you, and good morning, everyone. I’d like to welcome you to Drive Shack’s Fourth Quarter 2021 Earnings Call. Joining me today is President and Chief Executive Officer, Hana Khouri; and Chief Financial Officer, Mike Nichols. We’ve posted the investor supplement to our Investor Relations website at ir.driveshack.com. If you haven’t had a chance to download the presentation, please take the time to do so right now if you haven’t done already. I’d like to point out that certain remarks made today will include forward-looking statements. Actual results may differ materially from those considered by these statements. We encourage you to review the disclaimers in our press release and investor supplement and to review the risk factors contained in our annual and quarterly reports filed with the SEC. And with that, I’d like to now turn the call over to Hana.
Hana Khouri: Good morning, everyone. Thanks for joining us today. 2021 was a record year for Drive Shack Inc. We reported the highest total annual revenue in three years, finishing 2021 with just over $280 million in revenue, which is $62 million above prior year. For 2021, we also delivered around $16 million in total company adjusted EBITDA, the highest since transforming our traditional golf business into an entertainment company. For the fourth quarter, total company revenue exceeded $70 million and generated adjusted EBITDA of $2.5 million. The demand for traditional golf remains high, so even versus pre-COVID levels. In 2021, AGC did around $240 million in revenue, an increase of over $40 million versus prior year. Our private clubs remain at 99% membership capacity with a notable increase in total rounds and daily fee rounds of approximately 15% each over prior year. Revenue from green and cart fees is also up nearly 30% versus 2020. As you are all aware, 2020 was a hugely transformative year for the game of golf in terms of its rebounding popularity due to COVID. Based on the numbers we’ve generated, the game of golf is here to stay and will only continue to gain momentum with golfers and non-golfers elect. Our Drive Shack venues outperformed our expectations in 2021, ending the year just over $41 million in revenue and $13.5 million in EBITDA, coming in slightly above our run rate projections in a non-COVID year. Orlando also broke even for the first time in its history. At the beginning of the year, the revenue was mainly being driven by walk-in guests, but the events business grew over the course of the year and as regulations around gathering and group lucent. In Q4, the four Drive Shack venues generated almost $4 million in event revenue and $7.5 million in walk-in revenue. Our walk-in business this quarter was around 95% of our pre-COVID levels in Q4 2019, while events were just over 75%. We’ve had great success in both AGC and Drive Shack venues and courses coming out of COVID. We are seeing the same pattern with our Puttery venues. Our venues in Charlotte and the Colony generated just under $3 million in revenue in Q4 and just under $4 million for the year. We currently have two Puttery venues opened with an additional seven planned openings for 2022. In addition to these venues, we’re working through a large pipeline of additional venues for 2023 openings, most of which we’ll sign this year to get to our goal of 16 openings in 2023. There’s a bit of history on our company on Page 6 of the deck for those of you who are new to the story. Over the past three-plus years, Drive Shack Inc. has undergone a significant transformation from a traditional golf business to an entertainment operating company. During this time, we sold the majority of our owned course portfolio and converted a number of them into managed agreements to fund the growth of our entertainment golf business, namely to fund the development of our Drive Shack venues that we operate today. We opened our first Drive Shack venue in Orlando in April of 2018. We took our learnings from Orlando, specifically technology enhancements and opened three Generation 2.0 venues in August, September and October 2019, those were in Raleigh, Richmond and West Palm Beach. These three venues opened strong, significantly outperforming our 2019 expectations and beating their initial plans that year by 14%. We’ve since developed a new entertainment golf experience called Puttery, which is indoor, tech-enabled putting within an immersive experience. We opened our first Puttery in the colony just outside of Dallas in September of last year, followed by the opening of our Charlotte location three months later in mid-December of 2021. Our goal is to open a total of 50 Puttery menus by the end of 2024. Turning now to Page 7 for a summary and time-line view of our courses and venues. On the American Golf side of our business, we held 55 courses across nine states in Q4 with 1 owned, 32 leased and 22 managed courses. With our Drive Shack entertainment golf business, we currently have four venues in Orlando, Raleigh, Richmond and West Palm. We are additionally committed to leases in New Orleans and Manhattan. With Puttery, we now have two venues open in the Colony, Texas and Charlotte, North Carolina. In Q3, we reported leases in D.C., Miami and Houston and stated we had an additional three venues on which we were nearing lease execution. Since then, we have added leases on an additional five venues in Chicago, Philadelphia, Pittsburgh and New York City. And just earlier this morning, we announced a new Puttery location in Kansas, Missouri – Kansas City, Missouri rather. We have a robust pipeline of future Puttery locations, we’re actively pursuing and prioritized markets across the U.S. for 2022 and beyond. We are in active lease negotiations in several major markets and remain actively engaged with landlords and brokers in multiple markets across the U.S. I’ll speak more to our development plans and time line in a few moments. As I mentioned earlier, we debuted our first two Puttery venues in 2021. We opened the Colony, Texas on September 3 and in Charlotte, North Carolina in mid-December. We were intentional about the size and number of courses in our first handful of venues so that we could prove out our concepts perform across venues of different sizes with different numbers of courses. The Colony venue is just under 21,000 square feet, spans two floors and has four uniquely themed nine hole courses, which we call rooftop, large library and illusion. It has three bars, a patio terrace, multiple lounges and seating areas throughout. The Charlotte venue is 15,000 square feet, single story with two courses, the conservatory in the library, two bars, multiple lounges and an indoor/outdoor patio. Even with the difference in the square footage and number of courses at each of these venues, we’ve observed similar trends across both and the guest response continues to be very positive. Looking at the charts on Page 9, from their openings through February of this year – from their opening through February of this year, the Colony has generated nearly $5 million in revenue. The revenue mix of this $5 million was roughly 18% in event revenue, 9% in food revenue, and the remaining 73% split nearly evenly between game plan beverage sales. From opening in mid-December last year to February of this year, Charlotte generated nearly $2 million in revenue with roughly 9% of that being event revenue, 32% of the revenue attributed to gameplay, 13% to food and 46% to beverage. Both venues see that over half of their guests plan their visits in advance via our reservation platform. Alcohol sales comprised around 80% of the total F&B revenue per venue and each nine-hole course takes an average of just over 30 minutes to play. We’re extremely pleased with the strong performance in these venues to-date, particularly with each generating positive venue level EBITDA operating results in Q4. We’re gaining proof of concept with each passing month, and we expect them to continue delivering well within the projected venue level economics we put forward several quarters ago. Our 4 Drive Shack venues performed impressively last year as well, delivering record high annual revenue of $41.5 million, $33.5 million of which was attributed to walk-in revenue and $8 million to events. With these record high revenue numbers, we also generated the highest annual venue level EBITDA to-date of $13.5 million. Again, Orlando broke even in 2021, delivering its first ever positive venue level EBITDA. Our Drive Shack venues are a strong, stable business for us, and with the increasing demand with the events, we expect them to continue delivering at or above their run rate projections. The great results we’re seeing from our Drive Shack locations are indicators that our walk-in business has largely returned to normalized pre-COVID levels with events also continuing the post-COVID rebound. You can see the trend illustrated on Page 11 of the deck. In 2021, Drive Shack venues generated a total of $33.5 million in walk-in revenue versus $21.7 million in 2020. Event revenue for 2021 was $8 million versus $3.6 million in 2020. As I mentioned earlier, the 4 Drive Shack venues generated a $7.5 million in walk-in revenue, which was approximately 95% of pre-COVID levels of $8 million in Q4 of 2019, while events were almost $4 million and just over 75% of Q4 2019 levels of nearly $5 million. Given that Q4 was our opening quarter in a pre-COVID world, we are confident that our 2022 results are showing signs of revenue rebounding from COVID-19. The momentum of our traditional golf side of our business has continued throughout 2021, with total revenue, excluding management fee reimbursement of $182.4 million. As you can see on Page 12, this was a 26% increase versus 2020. Both our public and private courses outperformed 2020 numbers with revenue from green and cart fees up nearly 30% and total rounds at private courses up 15% versus 2020. We continue to maintain 99% capacity at all of our private membership-based clubs and event revenue across both private and public was up 185% year-over-year coming in at almost $16 million in 2021. As we turn now to Page 14. Over the course of 2022, we expect to open seven additional Puttery venues. In addition to the two venues that are open today, we currently have eight additional leases signed in D.C., Houston, Miami, Chicago, Philadelphia, Pittsburgh, New York City. And as of this morning, we announced our tenth Puttery revenue in Kansas City, Missouri. Behind these, we have a robust pipeline of other venues in lease negotiation in the LOI process. We want to ensure that we are very clear and as transparent as possible when it comes to communicating the number of venues we expect to open and when we expect to open them. We’ve learned quite a bit from the openings process last year and want to ensure we have taken the appropriate amount of time between builds and openings to be thoughtful about our strategy and approach given the current market conditions. While the obstacles presented by the strain on supply chain and GC labor are still present, we are very confident that the seven venues in 2022 is attainable and realistic. The map on Page 15 shows a visual representation of the states across the U.S., where we either have an existing entertainment golf location or evaluating for a possible location. Our current U.S. coverage includes nearly 40 prioritized markets and around 20 future markets for a total U.S. capacity of just under 60 markets across the United States. When we look at the projected venue level economics that we put forward several quarters ago, we remain confident that Puttery was and will continue to be the best path of growth for our company. Page 16 outlines the illustrative venue level economics for both Puttery and Drive Shack. Puttery is an adjacency to our current business. And as you can see here, gives us the ability to grow quickly with less capital risk and higher returns than a big box Drive Shack Venue. With Puttery, we expect to spend $7 million to $11 million to build each venue. We expect it to take approximately six to nine months to physically construct and generate a venue level EBITDA between $2 million and $3 million. Comparing that to a Drive Shack venue where we expect to spend between $25 million and $40 million to build each venue, taking approximately 18 to 24 months to complete and generating the new level EBITDA of between $4 million and $6 million. These are both great results, but the early results that we’re seeing in our Puttery venues in both the Colony and Charlotte are also proving that we’re well within these economic ranges and targets that we’ve provided. I will turn it over to Mike now to take you through our capital strategy and financial results.
Mike Nichols: Thanks, Hana, and good morning, everyone. Let’s start on Page 17. As we look ahead to our capital plans to fund our growth plans for additional Puttery venues in 2023, we currently estimate that we will need approximately $75 million of additional capital to finalize 2022 development and partially fund development of venues planned to open in 2023. We are working with the debt capital markets and expect to finalize the transaction in the second quarter of 2022 to secure the necessary capital to fund our near-term development plans. Our development plans for 2023 and beyond will be funded with additional debt capital and cash flow from operations. Turning now to Page 19 in the deck for a summary view of our financial performance for the quarter. On a total company basis for the fourth quarter, we generated $70.5 million of revenue, a 17% increase over the $60.3 million in Q4 2020. For the quarter, we reported an operating loss of $6.4 million and adjusted EBITDA of $2.5 million, our sixth consecutive quarter of positive adjusted EBITDA versus an operating loss of $3.6 million and adjusted EBITDA of $5.3 million for the fourth quarter 2020. For the full year, we generated revenues of $281.8 million, a 28% increase over 2020 and cut our operating loss nearly in half from $36.6 million in 2020 to $19.2 million in 2021. Our full year adjusted EBITDA was $16.2 million compared to negative adjusted EBITDA of $3.1 million for 2020, a $19.3 million improvement over – year-over-year. At the business unit level for the quarter, our entertainment golf segment generated $14 million of revenue, of which our Drive Shack venues delivered $11.2 million and Puttery revenues delivered $2.8 million as our Colony location completed its first full quarter of operations and our Charlotte location opened in mid-December. Entertainment golf revenue totaled $7.2 million for Q4 2020 in comparison, so we have nearly doubled the segment revenue over Q4 2020. On the traditional golf side, American Golf generated $56.5 million of revenue during the quarter, including managed course reimbursements of $13 million. Excluding managed course reimbursements, American Golf’s fourth quarter revenue was up approximately 9% this year versus the $53.1 million during the same period last year, which included $13.3 million of course reimbursements. For the full year, American Golf produced approximately $236.8 million of revenue, including $54.4 million of managed course reimbursements. This is up nearly 22% compared to 2020’s $194.7 million of AGC revenue, which included $50.4 million of managed course reimbursements. Strong public green cart fees, private course total rounds and memberships and higher event revenue were responsible for the increase. As I mentioned earlier, we reported an operating loss of $6.4 million for the fourth quarter this year versus an operating loss of $3.6 million in 2020. While decreasing on a year-over-year basis, this quarter’s operating loss included $900,000 of Puttery preopening costs compared to 2020 and includes increased compensation costs for the return of furloughed employees, particularly on the traditional golf side as well as increased course maintenance costs related to deferred maintenance and strong golf demand. It also excludes $800,000 of American Golf rent abatements related to COVID that the company benefited from in Q4 2020. Additionally, our SG&A expenses this quarter are more in line with historical levels relative to the fourth quarter 2020 when we were operating on reduced headcount from previously furloughed positions as a result of the onset of COVID-19 earlier in the year. These increased costs in 2021 were offset by revenue growth across both operating segments. The full year revenue of $281.8 million represented a strong 28% year-over-year growth rate and was driven by a $42.6 million increase in golf operations revenue and $19.3 million increase in sales of food and beverages. After operating costs, that significantly reduced our operating loss from $36.6 million in 2020 to $19.2 million in 2021, as mentioned earlier. The net loss applicable to common shareholders for the fourth quarter was $10.3 million or $0.11 per share compared to Q4 2020 net income to common shareholders of $8.6 million or $0.13 per share, which was driven by a $16.6 million gain on the sale of our Rancho San Joaquin course in 2020. For the full year 2021, the net loss to common shareholders is $35.5 million or $0.39 per share compared to 2020’s net loss to common of $61.9 million or $0.92 per share. Moving to Page 22. Our total company venue EBITDA contribution was $9.6 million for the fourth quarter this year, which includes $4.2 million for entertainment golf encompassing both Drive Shack and Puttery and AGC’s course EBITDA contribution of $5.4 million for traditional golf. Last year, our Q4 total company venue EBITDA contribution was $11.9 million, which included $1.7 million for entertainment golf and AGC’s course EBITDA contribution of $10.3 million for traditional golf. Core SG&A for the fourth quarter of this year was $7.1 million compared to $6.6 million last year. For the full year 2021, total venue EBITDA contribution more than doubled to $46.8 million versus $22.4 million in 2020, driven by impressive performance in both entertainment golf and traditional golf segments with Drive Shack and Puttery producing a 600% increase from $2 million in 2020 to $13.9 million in 2021 and AGC increasing 61% from $20.4 million to $32.8 million over the same period. Looking to liquidity and future capital needs. At the end of December 2021, we had $58.3 million of unrestricted cash versus $47.8 million at the end of 2020. As a reminder, we received approximately $54 million of net proceeds from our follow-on common stock offering that settled in February 2021. This cash provided the capital we need to complete the execution of our growth plans for our first seven Puttery venues, the first two of which have opened with another eight leases having been announced. As mentioned earlier, we will also be looking to debt capital markets to find continued Puttery redevelopment in conjunction with cash flows from operations. Finally, I am pleased to announce the Drive Shack Board declared dividends on the company’s preferred stock for the quarterly period ending April 30, 2022. The dividends are payable May 2 to holders of record as of April 1, 2022. With that, I will turn it back to Hana for closing remarks.
Hana Khouri: Thanks so much, Mike. The team at Drive Shack is really looking forward to a record year in 2022. We remain fiercely focused on increasing brand awareness and further driving profitability, both in our existing courses and videos as well as in our new Puttery locations. With that, I’ll turn it over to the operator for questions.
Operator:  We will take our first question from Peter Saleh with BTIG.
Peter Saleh: Great. Thanks and good morning. Hana, just a point of clarification first. I think in the release, you mentioned that the Puttery locations generated positive venue level operating results this quarter. Are you suggesting that both of these venues are EBITDA profitable at this point despite the fact that Charlotte’s only been open for a couple of months at this point?
Hana Khouri: Hi, Peter. Yes, hi. Great question. Yes, that is what I’m suggesting. We’ve been really impressed with the results coming out of both of our Puttery locations, especially given the fact that we’ve only been open for a short time.
Peter Saleh: Great. And then just in terms of the strategy to open the units this year, the Puttery units I mentioned, seven more units that you’ll have, I guess, nine by year-end. Can you give us a little bit more detail in terms of timing second quarter or third quarter, fourth quarter when some of these units should start to open for modeling purposes?
Hana Khouri: Yes, of course. I can tell you generally what we expect. Obviously, there might be a little bit of a swing here. But we’re expecting the majority of them to open Q3, Q4 with the potential of one of them potentially opening at the end of Q2.
Peter Saleh: Okay. And with the end of Q2 be D.C.? Or is that a different unit?
Hana Khouri: Yes, that would be D.C. D.C. is kind of first up. It’s been one that we’ve been working on that – well, not the longest, but D.C. is a pretty difficult market. So we’ve been working on that one quite a bit.
Peter Saleh: Got it. Understood. All right. And then just looking at the performance of the Puttery’s that you guys announced today, it looks like – looks like the mix is a little bit different between Colony and Charlotte at least between the beverage and the game a little bit different here. So can you talk a little bit about that? Do you expect Charlotte to pick up more on game play and lose a little bit more on the beverage? Or how do we think about that going forward?
Hana Khouri: Yes, it’s interesting. When we initially opened the Colony, and keep in mind, the Colony is a couple of ahead of Charlotte. So the Colony opened in September, where Charlotte opened in mid-December. When we initially opened the Colony, we saw similar results as what you’re seeing on Page 9 for Charlotte. So right now, 46% gameplay in Charlotte. I would expect that number to be closer to 50% of the beverage sales, similarly to what we’re seeing in the Colony. So while I don’t expect it to go down, what we’re finding is that many people come in, especially when we first opened, they want to play. They play a couple of courses. And then when they come back, they might play, but they might come in for a happy hour or to just have a couple of drinks. We’re especially seeing that in the Charlotte market just due to its location. It’s a great location, the Colony is as well. The Charlotte location is kind of right in the middle of a very walkable area of other bars and other kind of entertainment venues. So, I think that is kind of what I attribute it to, especially in the early days.
Peter Saleh: Great. And then just lastly on my end before I pass it along. Obviously, it looks like the Colony is doing double at least in percentage wise on the events business. I suspect the events business is some of the most profitable business that you guys have. Is that just a function of the Colony being open for the fourth quarter and Charlotte really getting very small amount on the fourth quarter, maybe a couple of weeks? Or is there something more to that going forward? Have you guys really not engaged much on Charlotte yet on the events? Just trying to understand the mix there?
Hana Khouri: Yes, it’s interesting. When we open the Colony, we had the advantage of opening in September. So we still have a lot of guests that were planning their holiday parties, their corporate functions, et cetera. And we were able to secure many of those parties, New Year’s parties, et cetera. With Charlotte opening in mid-December, it was a bit too close. We got some of that business, but I don’t think we were fully able to kind of capitalize on the full – the full month of December as we might have been able to if we had opened earlier. So, I do expect the event revenue in Charlotte to continue to increase and to normalize. I don’t expect it to be too different from the Colony though. Charlotte does have two less courses than the Colony does. And – so we’ll have to see what that end up doing to the event business. So, we have so much space in the Charlotte venue proceeding and for other things. We have presold a number of events. So, I really – again, Peter, I would attribute it to the December in the numbers that you’re seeing right now and just the lack of ability to be able to really go after all of those holiday parties in Charlotte, like we were able to in the Colony.
Peter Saleh: Understood. Great. Thank you very much. I’ll pass the line.
Hana Khouri: Thank you.
Operator: We will take our next question from Alex Furman with Craig-Hallum Capital Group. Your line is now open.
Alex Furman: Great. Thank you very much for taking my question. If I could ask a little bit about the traditional Drive Shack unit. It sounds like they’re starting to get back to pre-COVID levels at least on the walk-in business. We never got to see all four Drive Shack open for a full year before COVID, and I imagine the mix of business might look a little bit different in the post-COVID world? Are you starting to get a sense of what those units could look like at maturity? Or is it maybe too soon to tell?
Hana Khouri: Alex, yes, thanks for the question. I – you bring up a good point. We opened the majority of these venues except for Orlando at the tail end of 2019 before the pandemic hit. What I’m starting to see now and what we’ve seen as a team is that these – the venues are currently hitting what we would expect them to hit on a run rate basis. The venue mix might be – or the sales mix between events and walk-in might be a little bit more skewed than we think, but we think that there’s only upside from here. So again, with Drive Shack venues in 2021 doing about $8 million in event sales and then $33.5 million in walk-in, I might say that I would expect some of that walk in to give way to event revenue. Meaning maybe a little less on the walk-in business and more on the event business. What we did see was people would still come out to us. They just might not plan an event. They might just walk in instead of planning a big event. So, we’re definitely keeping our eye on that and kind of quantifying it as this year progresses in 2022 because I think that we’re seeing it normalize in a big way.
Alex Furman: Okay. That’s helpful. Thank you. And then on the Puttery side of things, it sounds like there’s a bunch of new locations coming this year, mostly in the back half of the year. Can you give us a sense of how large these locations are going to be? Are any of them going to be as big as your first location in the Colony? Just curious where you kind of settled on size? If these are mostly going to feature 3 courses or any color there would be helpful?
Hana Khouri: Yes. So for the most part – most of our venues will feature either two or three courses. What we really learned with the Colony is that we don’t always need four courses. We might be able to convert some of – one of those courses into seating so that we could sell more events and get greater event revenue or have an additional bar depending on the market. So for the majority of these that we’ve announced, D.C., Houston, Chicago, Philly, Miami and Pittsburgh as well as Kansas City will feature either two or three courses. Meatpacking in New York City will be our largest venue to date, but that does not necessarily mean we will have more courses in meatpacking. We have been modeling that several different ways and expect to be able to really some further information about that in the coming weeks. But in a course revenue does not always – does not – especially in the meatpacking district, we’re kind of trying to save some space for event revenue and for spaces that people could come in and host events.
Alex Furman: Okay, that’s really helpful. Thank you very much.
Hana Khouri: Yes. Thank you.
Operator: We will take our next question from Eddie Reily with EF Hutton. Your line is now open.
Eddie Reilly: Hey guys. Thanks for taking my question. I was curious how the uptick in COVID cases during December might have affected the operating results at the Colony? Did you see any effect there in terms of traffic?
Hana Khouri: Hey, Eddie, no we didn’t. I think we were watching it really closely, and I think everyone was watching it closely. But no, we didn’t see any FX in the colony specifically. And I would say – even though Charlotte was only open for a partial month in December, I did not see anything there either. I was frankly more worried about Charlotte than I was at the Colony. Texas has been a little bit more relaxed in their protocols for COVID than North Carolina has historically been. So no, we didn’t – surprisingly and gratefully, we didn’t really see the effects in either location.
Eddie Reilly: Got you. And could you just comment on traffic numbers within January and February for two locations?
Hana Khouri: Yes. And we haven’t historically given any kind of like guest visit numbers. We are going to – we will be releasing those in the coming months as we get better data. I think what we have spent a great deal of time on this last quarter is actually collecting guest data in a more streamlined format so that we’re able to answer questions like the guest traffic, repeat visits and other general guest demographics that become really important like the ages of our guests, the income of our guests, et cetera, so that we can continue to refine and work through our real estate strategy.
Eddie Reilly: Got you. Yes, that would be really helpful going forward. On food and beverage gross margins, could you give us some detail on what’s driving the continued strong results there? And is this sustainable going forward?
Mike Nichols: Yes, certainly. I think from our standpoint, as we expand the Puttery, we are seeing food and beverage gross margins grow. And I believe it is sustainable. As you’ve seen the success of the Puttery is pretty strong in both Colony and Charlotte. And I think as we expand those puttery’s across our new venues, you’ll see that F&B margin roll out and become a larger percentage of our overall revenue for the entertainment golf side, and they will continue to produce solid results.
Hana Khouri: And Eddie, I would just add, for the Puttery specifically, alcohol margins are typically pretty high. And as you can see on Page 9, the majority of how were food and beverage mix is in alcohol. So about over 80% or just around 80% of our total F&B revenue comes from alcohol, which definitely helps those margins. On the Drive Shack side, I’m not sure if you were asking about Drive Shack or Puttery specifically. But on the Drive Shack side, we have gone to a bit of a reduced menu. We’re rolling out a new menu in April, where we can take some price there as well so that we can combat this inflation and continue to generate really great results.
Eddie Reilly: Got you. Thanks. And then last one for me. Really big picture question here. I know the strategic focus right now is on opening Puttery venues. But five, 10 years down the road, these entertainment venues really seem to be picking up steam. Do you think you might be able to go into other types of these venues, maybe golf simulation or other types of concepts? Is there any opportunity there that you guys have talked about?
Hana Khouri: Yes, definitely. We are very hyper focused right now on what’s in front of us and making sure that we execute on the goals that we’ve set forward, especially as it relates to Puttery and continuing to grow revenue in our existing locations on both the traditional golf side as well as the entertainment off side. But the sky is kind of the limit for us. As he said, the entertainment menus are really gaining steam, and there’s a lot of possibility in the space. So there’s definitely a possibility that we see longer term years down the road for either acquiring other entertainment concepts they’re creating our own. But again, at this moment in time and in the foreseeable future, we’re really focused on delivering results for Puttery and getting these venues developed as promised.
Eddie Reilly: Got it. Thanks guys. And congrats on a great quarter.
Hana Khouri: Thanks, Eddie.
Operator: We have no further questions in the queue at this time. I will turn the program back over to Kelley Buchhorn for any additional or closing remarks.
Kelley Buchhorn: Thanks, Britney, and thanks again, everyone, for joining us this morning. We do look forward to speaking with you next quarter. And as always, feel free to reach out any time before then if you have any other follow-ups. Have a great rest to your day. Thanks.
Operator: This does conclude today’s program. Thank you for your participation. You may disconnect at any time. And have a wonderful day.